Operator: Good morning, everyone. Welcome to Exchange Income Corporation's Conference Call to Discuss the Financial Results for the Three Month Period Ending March 31, 2023. The Corporation's results, including the MD&A and financial statements were issued on May 9, 2023 and are currently available via the company's website or on SEDAR. Before turning the call over to management, listeners are cautioned that today's presentation and the responses to questions may contain forward-looking statements within the meaning of the safe harbor provisions of Canadian provincial securities laws. Forward-looking statements involve risks and uncertainties and undue reliance should not be placed on such statements. Certain material factors or assumptions are applied in making forward-looking statements and actual results may differ materially from those expressed or implied in such statements. For additional information about factors that may cause actual results to differ materially from expectations and about material factors or assumptions applied in making forward-looking statements, please consult the MD&A for this quarter, the Risk Factors section of the Annual Information Form and EIC's other filings with Canadian Securities Regulators. Except as required by Canadian Securities Law, EIC does not undertake to update any forward-looking statements. Such statements speak only as of the date they are made. Listeners are also reminded that today's call is being recorded and broadcast live via the Internet for the benefit of individual shareholders, analysts and other interested parties. I would now like to turn the call over to the CEO of Exchange Income Corporation, Mike Pyle. Please go ahead, sir.
Michael Pyle: Thank you, operator. Good morning, everyone and thank you for joining us on today's call. With me today is Richard Wowryk, our CFO; and Carmele Peter, our President. Yesterday, we released our first quarter financial results for 2023 and I am excited to have this opportunity to share with you some of our highlights from the quarter and pleased to report that even though in both of our operating segments, the first quarter is always our slowest seasonally. EIC exceeded all our internal financial targets, while at the same time executing on opportunities for future growth. This is particularly noteworthy given the volatility in the macroeconomic environment, high inflation, interest rate increases and ongoing geopolitical tensions. Despite these challenges, we stayed focused on executing our strategy. In terms of our financial results, because of deliberate choices and investments we've made in our past, we have generated first quarter records in revenue, adjusted EBITDA and free cash flow. Revenue increased by 32% to $527 million, adjusted EBITDA increased by 45% to $97 million, free cash flow increased by 26% to $60 million, adjusted net earnings were $12 million or $0.27 per share versus $8 million or $0.20 per share last year. On other financial metrics compared to the same period last year and given the first quarter is our slowest seasonally were in line with our expectations. Free cash flow, less maintenance capital expenditures was essentially unchanged at $90 million (ph). While, on a per share basis it declined nominally to $0.44 as a result of a more normal seasonality in our maintenance capital expenditures compared to the COVID, excuse me, affected results of the first quarter of last year. Our payout ratio on a free cash flow less maintenance capital expenditure basis improved modestly from 58% -- to 58% from 59%. You've heard me say many times before, our success is a result of our culture, the power of strategy and our consistent execution. Our record results for the first quarter proved out once again. Our environmental access solutions business is a significant contributor to the results as there was no comparable amount to the previous year. However, much like our aviation operations, their performance is impacted by seasonality with the third quarter being the strongest and the first being softest. Passenger volumes in our essential air services businesses returned to be more in line with pre-pandemic levels and replaced the $11 million of government subsidies recorded in the same period last year. Cargo and Medevac demand remains strong. Charter demand also remained strong, but a tight supply of aircraft and crew audited our ability to capitalize on all charter opportunities this quarter. Our aerospace business benefited from a full quarter of operations within our Netherlands contract. Our precision manufacturing and engineering operations continue to experience strong demand for their products and our multi-story window solutions business continues to recover from pandemic disruptions with production normalizing and strong demand. While our aircraft sales and leasing business did not generate the same level of large assets sales as they did in the same period last year, demand for aircraft parts of leasing remained consistent with the prior period. Large sales of assets and aircraft are always variable period to period, and have a bigger impact on our revenue than they do on our earnings. Managing in the short-term is only part of our strategy. It is our focus on the long-term that drives growth in future quarters. It is woven into our DNA. That's why in the first quarter of this year we also made meaningful and disciplined investments into new acquisitions and organic growth in both our segments. In March, we announced the acquisition of BVGlazing Systems and we're pleased to officially close the transaction early this month after receiving approval for the Canadian Competition Bureau. BVGlazing located in Ontario complements our existing investments in our multi-story window solutions business. Based on their historical profitability and strong order book the transaction is immediately accretive to our per share metrics. In addition to the accretiveness to BVGlazing to our results, it represents the most attractive prospect in our history for creating efficiencies within our existing businesses. Complementary product offerings such as curtain wall and railings and the BVGlazing business plus installation capabilities in our existing Quest business offer revenue expansion potential. The expectation of greater purchasing power and rationalization of production facilities will facilitate growth and improve margins. With strong combined order book of approximately $1 billion and positive industry outlook means hiring more people to tackle the tremendous opportunities. The impressive management team of BVGlazing led by Mike who will stay on and run the business as a critical element of our due diligence. Following our BVGlazing announcement in March, we later announced the acquisition of Hansen Industries. We have attempted to grow our precision manufacturing business by acquisition in the Lower Mainland of British Columbia, specifically for a prolonged period, but have been unable to uncover companies with unique market niches and strong defensible margins until we were introduced to Hansen. Hansen meets all of our acquisition requirements and will accretively grow our operations on a standalone basis. The addition of a second operation of BC provides important capacity for both companies in times where demand exceeds their standalone capacity. Hamid the President of Hansen is a proven leader who will continue to lead our team, filing the team under our ownership. Yesterday, we were also extremely pleased to announce two significant organic growth opportunities that will provide profitable growth for years to come. First was the engagement of the Force Multiplier FMX aircraft in our Aerospace business. This contract will fully deploy the aircraft for 18 months as opposed to the short-term solution it was designed to deliver. This means double the utilization we would normally expect on an annual basis. In addition to improved utilization, it represents the second European contract win for our Aerospace business, which validates our collective capabilities as a differentiator in the marketplace and is a testament to our credibility on the world stage. Secondly, we are thrilled to be in a position to announce we have invested in the purchase of what will be the only civilian owned full-motion electronic King Air Training Simulator in Canada. Currently our pilots must travel the third-party locations, the United States for simulator trailer. Having our own simulator will not only generate an accretive financial return, it will also increase operating flexibility because we will not have to rely on third-party providers with limited trading spots. Increase our training -- it will increase our pilot training capacity as the industry faced with pilot shortage. It will provide new revenue opportunities for training pilots from other airlines within Canada as we will not fully utilize the simulators capacity. It will eliminate fuel burn, while gaining all of the experience to make our fleet, one of the safest in the world skies and finally, we will reduce our carbon footprint by significantly reducing fuel burn and corresponding greenhouse gas emissions for both the training itself and the travel training in the United States fundamental to our strategy is making our balance sheet to ensure we have capital on hand to take advantage of investment opportunities when they arise. While the markets have remained turbulent in 2023, we were successful in upsizing and extending our credit facility and fixing our interest rate exposure, which positions us well to execute our investment opportunities on a go-forward basis. Richard will detail this in his remarks. We're excited about our future and intend to keep on doing what we are doing because it works. The diversification of our manufacturing segment over the past 18 months, the new investments in acquisitions and organic growth from new contract wins and the discipline in which we have managed our balance sheet, we are in a position to revise our guidance from the previous range of $510 million to $540 million to our new guidance of $540 million to $570 million. And while we are not yet prepared to provide formal guidance for 2024, we believe it is likely that we will hit the $600 million threshold in adjusted EBITDA based on current performance levels and future growth. The consistent execution of our strategy continues to deliver for all our shareholders as evidenced in our results. We're excited to integrate our new investments into our operations and report their performance in future quarters. I will now hand the call off to Richard who will detail our first quarter results.
Richard Wowryk: Thank you, Mike and good morning, everyone. During the first quarter our subsidiaries delivered results that were higher than our internal expectations, resulting in several first quarter records in 2023. Adjusted EBITDA was $97 million, an increase of 45% over the prior period. Both the Aerospace and Aviation segment and the Manufacturing segment drove it's increase as adjusted EBITDA increased by 17% and 195%, respectively in each segments. Essential air services increased adjusted EBITDA by 30% despite not receiving any government subsidies in 2023 as compared to $11 million in the prior period. All revenue streams within essential air services grew over the prior period. The most material increase was passenger revenue as passenger levels returned to pre-COVID levels. Within aerospace, adjusted EBITDA increased primarily due to the contribution from the deployment of the corporations ISR assets for the Netherlands Coast Guard contract. This is the first quarter of full deployment of these assets on this contract. Within aircraft sales and leasing adjusted EBITDA declined from the prior period. The prior period experienced a much higher level of large asset sales than we've experienced historically as airlines around the world had to start making purchases that they had put off during the pandemic to prepare their fleets for summer 2022 travel. The current period was strong relative to what would be considered normal. But it was lower than the prior period. Part sales remained strong and lease revenues increased slightly over the prior period. In the Manufacturing segment, the increase was primarily driven by the acquisition of Northern Mat in the second quarter of 2022 as there is no comparative in Q1 2022. But all business lines within this segment experienced increases over the prior period. Within multi-story window solutions, adjusted EBITDA increased over the prior period as projects that were bid in previous periods included adjustments for higher input costs and are starting to be manufactured for customers. We expect continued improvement over the remainder of 2023. With precision manufacturing and engineering, adjusted EBITDA increased by 32%. Investments made in prior periods to expand capacity and the benefits of the integration of tuck-in acquisitions completed in 2021 were the main contributors to the increase. Net earnings and adjusted net earnings increased by 83% and 47% respectively, an increase of -- and increased by 60% and 35% respectively on a per share basis. Our per share results were impacted by a 10% increase in the shares outstanding, driven by our common share offering in the third quarter of 2022 and shares issued as part of the purchase consideration on our 2022 acquisitions. The increase in adjusted EBITDA, which drove the increase in net earnings and adjusted net earnings was partially offset primarily by two items: increased interest cost and depreciation on capital assets. Interest cost increased over the prior period in lockstep’s with increased benchmark borrowing over the last 12 months. In addition, increase the mass outstanding due to investments made over the last 12 months increased interest costs. Depreciation on capital assets increased for two reasons. First, the acquisition of Northern Mat in the second quarter of 2022 contributed to the increase in 2023. Second, investments made to increase the size of our fleet and increased flying on the fleet also resulted in higher depreciation. Other costs associated with our acquisition activity, notably intangible asset amortization also increased over the prior period. Amortization of intangible assets as a non-cash expense and these assets are not replaced on an ongoing basis, when they are set up as part of the purchase price allocation for accounting purposes. And as such are excluded from our adjusted net earnings. Free cash flow less maintenance capital expenditures was flat to last year as a more normal seasonal cadence to our capital expenditures offset and increased in free cash flow. Generally, our essential air services complete the bulk of that maintenance where possible in the first part of the year when they are less busy. In the prior year, the onset of the Omicron variant post some of these expenditures to later in the year, meaning that Q1 of 2022 was abnormally low compared to what we would have expected absent the impact of the Omicron variant. Growth capital expenditures were focus in essential air services and our aircraft and engine lease portfolio. In essential air services investments were made in additional aircraft, the construction of a new hangar to support growth in our essential air services and deposits made on a King Air simulator. Within the leasing portfolio investments were made in assets as we increase our fleet to position our operations to respond to customer demand as the narrow body regional jet marketplace continues its recovery from the impacts of the worldwide pilot shortage. During the first quarter, as we messaged in the fourth quarter of 2022, we had a material outflow from working capital, which was driven by a receivable that was collected in the fourth quarter of 2022 for the corresponding payable was not due until January of 2023. Our senior leverage ratio at the end of the quarter remains consistent with our historical target at 2.59x as our adjusted EBITDA over the remainder of the airlines with the guidance we have provided to the market, we expect this will continue to decline towards the end of the year. Our leverage ratio, when including our convertible debentures continues to decline as debentures have not increase at the same rate as our adjusted EBITDA over the last 18 months. Historically, our convertible debentures have represented 1x of adjusted EBITDA within our capital structure, whereas now the debentures represent approximately three quarters of a churn of adjusted EBITDA also, the new 2023 guidance, using the midpoint. In addition, there are two series in convertible debentures that are now in the money and we have started to see a limited amount of these convert into equity. Subsequent to the end of the quarter, we extended our credit facility to May 9, 2027 and increase its size from approximately $1.75 billion to approximately $2 billion. Consistent with our past practice of always ensuring we have capital available for required for investment, we took advantage of our optional annual renewal with our syndicate of lenders to increase the size of the facility. This will provide the liquidity required as we are seeing some very exciting growth opportunities, both through acquisition and organic growth. The terms of this facility are consistent with our previous facility and we added one new American lender to the syndicate. Despite an elevated rate environment putting pressure on banks funding costs, we were able to complete the extension and upsize with no change in pricing. During the first quarter the Corporation fixed $350 million of credit facility debt at a rate below floating rates for a period of approximately three years. The inversion in the yield curve in mid-January provided an opportunity to fix that that was invested through acquisition and growth investments in the prior year. Subsequent to the end of the quarter in early April, we fixed a $140 million of credit facility debt at a rate below floating rates for a period of three years. As with our Canadian dollar swap there is a significant inversion in the yield curve at the time that made fixing rates attractive. Both of these transactions provide us with certainty on our cost of capital and with previous swap transactions and our convertible debentures both also have in fixed rates approximately two-third of our debt now has a fixed rate. That concludes my review of our financial results. I will now turn the call over to Carmele.
Carmele Peter: Thank you, Rich. Our strong financial performance in Q1 coupled with the acquisition activities in the first part of 2023 and new organic contract awards has set the stage for another year of solid growth for EIC and further solidify the foundation for 2024. Before we talk about the impact that those items will have on our outlook for the year, let me first discuss our operations for Q2, which I will do in relation to how we are now discussing our operations being through the six business lines in which our operations are included. Starting with the Aerospace and Aviation segment. Our essential air service business will see increased profitability over Q2 2022 driven primarily by increased passenger traffic in all regions. Cargo will remain relatively flat compared to last year, charters will continue to be hampered by tight aircraft availability, but demand remains strong in particular with increased mining exploration activity. We have three aircraft coming online in Q3, which will allow us to capture some of these additional opportunities. Medevac will see also year-over-year growth, albeit, more modest from trauma flight, which was not fully operational until later in 2022 and an expansion in scope of work for the government of Nunavut with increased crewing out of Ottawa and Winnipeg. All of our air operators are experiencing increased costs from raising labor costs driven by industry-wide shortages for pilots, aircraft mechanics and medical personnel. We have completed or are in the process of negotiating many of our collective bargaining agreements that will provide security for our employees and stability for our operations. The increase in labor costs will impact margins until such time as we were able to pass through these costs onto our customers. The aerospace line business will see also an increase year-over-year with the benefit of its Netherlands operations, which did not go into service until Q4 2022. Full deployment of Force Multiplier for the back half of Q2, pursuant to its 18 month ISR contract with an allied European government, higher temple flying in the UAE and Curacao and some additional training contracts for the US Department of Defense. The aircraft sales and leasing business will see marginal growth year-over-year as Q2 2022 had the highest ever aircraft and engine sales, which will be materially lower in Q2 2023. Part sales although still strong are being impeded by the lack of available MROs loss for teardowns. This will be offset by an increase in leasing revenue over last year. We are encouraged by the trend of our leasing revenues, but the pace is slower than expected as pilot shortages continue to persist and constraint the speed of the regional narrow-body aircraft recovery. The environmental access solutions business will benefit from a full quarter of earnings from Northern Mat compared to two months in Q2 2022. However, Northern Mat's performance in Q2 2022 needs to be put in perspective as it benefited from ideal winter, spring transition conditions, because the market pricing and lack of mass supply from competitors. Q2 2023 market conditions are good, but not as ideal. Going into Q2, large portions of Northern Mat's operating regions went from frozen to rain conditions straight to road bans as temperatures rose limiting Northern Mat's rental and operational buildup in Q2. Also declining matting lumber prices and an increase in competitor mat supply will also limit environmental access solutions year-over-year growth. However, to be clear, Northern Mat's performance in Q2 is still expected to be -- is still expected to materially exceed the performance metrics on which it was acquired. The ongoing wildfires in Northern Alberta have not yet, but depending on their path of destruction could impact our customers or access to customers in that region and therefore impede in the short-term, our operations in Northern Alberta. If this does occur there could be upside in later quarters as those customers look to replace Mat's and rebuild any damaged infrastructures. The multi-story window solutions business will benefit from the acquisition of BVGlazing on May 1 as well as increasing margins later in Q2 from higher pricing Quest took to market over a year ago to address the substantially higher input costs. Overall demand for product remained strong, but in the US market from -- the time from quote to project contract has elongated. The Canadian market, however is particularly experiencing high levels of activity. The precision manufacturing and engineering business will experience organic growth year-over-year as well as the benefit from the acquisition of Hansen, which was completed at the beginning of April. The organic growth is from increased demand in our wireline and wireless construction services business as well as in precision manufacturing in particular for the defense sector. With respect to maintenance capital expenditures in Q2, we anticipate materially higher levels than in Q2 of 2022 for several reasons. First, the first part of Q2 2022 was impacted by Omicron variant which slowed activity imports maintenance capital expenditures into subsequent quarters. Secondly, our air operators are expecting increased flying hours relative to Q2 2022 leading to increased maintenance CapEx. Thirdly, labor shortages and supply chain issues have driven maintenance capital expenses higher. And lastly, we have increased maintenance CapEx due to recent acquisitions for Hansen and BV as well as the full quarter for Northern Mat. Growth investments for the Aerospace and Aviation segment in Q2 were focused on the upgrade of the surveillance aircraft for the renewed Curacao contract, additional aircraft capacity to capture increased charter demand and the start of the construction of the Gary Filmon Indigenous Terminal which will align our terminal capacity to the growth of the communities we serve. Also in Q2 investments will be made to modify one of our Beech 1900 aircraft to provide for scheduled medevac slates for Nova Scotia Health. We currently have a seven-year contract with Nova Scotia Health, which is serviced by one King Air. The addition of 1900 aircraft, is an increase in the scope of the service under that contract and will commence in Q3. With the current size of our King Air fleet and the anticipated continued growth in this platform, EIC will be one of the largest King Air operators in the world. The scope of operations led to EIC's economic and strategic decisions to enter into a contract to purchase a full-motion simulator to support all of our King Air operators and eliminate the cost of sending our pilots to the US for training. The simulators is expected to take several quarters to complete and install. The simulator not only provides more training time for pilots, but also significantly reduces fuel burn and corresponding GHG emissions for both training and travel to training, thus reducing our carbon footprint. Growth investments for Manufacturing segment will be minimal with the investment concentrated on the expansion of our environmental access solutions, Mat rental fleet and rolling stock and the procurement of some new equipment in the precision manufacturing and engineering solutions business to meet increased customer demand. As I look at the balance of 2023, there are obviously economic challenges to manage through, including persistent higher interest rates, inflation rates, labor shortages and increased costs. But the investments we have made in the past have pave the way for continued success for the balance of 2023. With the tailwinds, the strong performance in Q1, two acquisitions in Q2 and organic growth opportunities, we are increasing our 2023 adjusted EBITDA guidance from $510 million to $540 million to between $540 million to $570 million. Thank you for your time this morning. We would now like to open the call for questions. Operator?
Operator: Thank you. [Operator Instructions] Your first question comes from Steve Hansen at Raymond James. Please go ahead.
Steve Hansen: Good morning. Mike, the new Force Multiplier contract appears to be another important win in Europe for that segment. It also is one of the longest duration contracts I think you've discussed thus far. Can you maybe give us a sense for what that means for the program longer-term and whether this opens up additional opportunities in that region.
Michael Pyle: Yeah. We are really excited about the ability to put FMX on a prolonged basis. Many of you will recall we built FMX as an opportunity to respond to hotspots in the world where there was a need for an immediate surveillance aircraft, but nobody has been staffed and available and ready to go. It's something that always needs to be built. And so we've built this -- entering COVID quite frankly it's been less busy than it had been before, simply because governments are focused in other areas. With ongoing immigration issues, governments around the world, but in Europe in particular are very interested in patrolling their waters and one of the governments approached us and said we need an immediate solution. And by immediate we're going to stand up that operation in a matter of a few weeks. And I'm not just getting the plane there, we're going to basis staff everything to fly that aircraft more hours than we've ever flown it on a monthly basis. In fact, the government would like us to fly beyond the capacity we think it could fly. So we're going to be pushing the limits of our team to keep it maintained in the air. But what's unique about that is that we only just signed our first or delivered our first contract in the Netherlands. This is a second opportunity and we see opportunities like this continuing to pop up. It's highly likely that the government that we're doing this for will follow up this 18 month contract with the long-term RFP. And while we would have to wins such an RFP, I think we're in a good position. We at least have a head start because we're working for them already. And so I think it just speaks well to pals reputation in the world incredibility in solving ISR maritime surveillance issues.
Carmele Peter: Yeah. And Steve, what I would add is that really showcases the capability of Force Multiplier. I think of it is an objective, as an aircraft but it's really a full service. And for our folks to stand up and it's just a matter of weeks the aircraft to get it ready for the type of deployment, but it's going on to do the necessary modifications and to quickly adapt our technology on the aircraft to suit the government, the customer that we're servicing is quite remarkable. And we're also excited about the CarteNav system, which you've heard us talk about before, because it is on other surveillance technology that this government has, so we will be very integrated with them. And I think it just showcases our international capabilities, and I think that will lead to a lot of additional opportunities in the future.
Michael Pyle: One last thing before we leave this topic. We're not being cute or vague about who it for the government, we signed the contract with allowed us to announce it because it's our AGM later today, but they will be making their own announcement very shortly. And it will become a public who this is for, but we are at the request of our customer letting them announce that.
Steve Hansen: Okay. That's great. That's good color. Thank you. Just maybe one follow-up and I'll jump back in the queue is around the window solutions business. I'm still getting -- you saw these few names. Just wanted to make sure I'm understanding it properly. The backlog there has been deep for some time. I think we all know that. But there has been challenges you reference the ability to ramp up here through the balance of the year. I'm trying to get a sense for the cadence at which you see that production schedule improving and how we should think about the economics for that business as it goes forward. I think you've also described it in the past is one of your most underutilized businesses, the most, most upside. So just some sort of sense for how we expect the balance of the year play out would be helpful. Thanks.
Michael Pyle: Well, I think you see two things. We've already seen the revenue start to increase as our production is normalizing and so you'll see that continue to go through the year and quite frankly into next year. We've got more and more projects, the farther we go the deeper the order book is. But in addition to that, it really the returns go not only with the volume but gross margins are better, because they were priced at higher input prices, so we have better gross margins. And then quite frankly the factory is more efficient because it's running more than it has been in the past. One of the best indicators of that is we're in the midst of setting up a second shift Dallas for the first time since we've built that factory. And for those of you have had the opportunity to see it, it really is a state-of-the-art manufacturing facility. And so newer product we could run through there better. It really wasn't part of your question, but I'm going to add something else because it's related to this -- as it relates to BV. They have a strong order book and you will see that instantaneously as they come into Q2 with the May 1 of closing, but you're going to see significant synergy opportunities as those companies are put together. Revenue cross-selling on railings and curtain wall and installation where they can help each other out. And then, consolidating our manufacturing, we have five or six facilities in Southern Ontario, we'll shrink that down materially and have more Dallas like production. Now that's obviously not going to happen overnight. We'll see that over ensuing quarters. But I think we -- use case we're going to be talking about this quarterly for the next three, four or five quarters as we start to see the benefits of the higher contracts, the increased demand and then following that the synergies of the two operations.
Operator: Your next question comes from Matthew Lee at Canaccord. Please go ahead.
Matthew Lee: Hey. Good morning. Thanks for taking my question and congrats on the results. I just maybe want to start on the manufacturing side. Based on my calculus, you did high single digit organic revenue in the business. Can you maybe break down what's driving that and if we should expect that rate of growth to kind of get to you throughout the year even though Northern Mat has seen some rate.
Michael Pyle: Yeah. I mean if we need to talk about Northern Mat separately from the precision manufacturing stuff we do. Your calc on the high-single digits is pretty close to bang on. It's driven by -- really by two things. Strong demand and passing on some of the costs have increased the products like raw materials in there, but virtually every one of our businesses has record or near record order book. So in that part of our business, it's very -- it's easier to forecast and quite frankly pretty positive, because the demand across the board, we don't have a lot of direct-to-retail kind of products we're producing. So discussions and rumors of recession, we really don't see having a big impact there. So I think continued growth of the type you're talking about is a reasonable estimate. As it relates to Northern Mat, they performed at a rate very close to last year, well, we didn't know the business, but last year was clearly the best in Northern Mat's business. Carmele mentioned during the call that we don't anticipate it, we've said all along that last year was kind of a perfect storm of good things. Having said that, this year remained strong, demand is good we have not sought rent, price may come down somewhat as our competitors have more supply, but demand remains strong. The results coming out of Northern Mat are going to remain far higher than [Technical Difficulty] we're looking forward to that. And so where we are, I don't think we're particularly vulnerable to somewhat deciding they want to start flying in those areas. Same thing with maritime surveillance, it's a great marketplace but the amount of time that's gone into designing the aircraft we have and the expertise we have, it would be very difficult absent an acquisition to quickly become a player in those spaces. Chorus is a well-run company and they generate free cash flow. So they want to move into something I'm sure there'll be able to do it. I mean they bought Voyager a number of years ago in North Bay and that was a company we were interested in and it's a great company. So I think there is room for more than one player in niche aviation. I don't want to sound overconfident, but I think if they decide that's what they want to do there is lots of room for both of us in this.
Carmele Peter: Yeah. I mean, we get competitors from time to time always in our markets and we've got typically long-term contracts, great relations with our customers, a high level of service and significant experience and great management team. So that's a phenomenal combination that makes us very difficult to compete with. And we have competed with Chorus on certain contracts in the past and been successful and there's more, we're happy to have them come on and compete with them. We certainly have a lot of faith in what we've put together.
Michael Pyle: Operator?
Operator: Your next question comes from Cameron Doerksen at National Bank Financial. Please go ahead.
Michael Pyle: Good morning, Cam.
Cameron Doerksen: [Technical Difficulty] pilot specifically. So, I know you're in the process of I guess renegotiating labor deals with various unions at your various operating entities. It sounds like you've had some success so far on that. I just wonder if you can just update us on the progress there like what's left to do. And can you maybe talk about your -- the impact on margins, Carmele mentioned this a little bit, but I mean I guess sort of the timeframe that might take to kind of offset some of the margin pressure from higher labor costs as you kind of renegotiate contracts with customers to reflect those new costs.
Michael Pyle: Sure. I mean, I don't want to get into company by company assessments of it. But number of our pilots are represented by ALPA. ALPA is a strong advocate for their pilots and they can be challenging to deal with, but we've had success, we have completed at least two of our negotiations and we're well down the road on a couple more. So like I say, it's a tough time in aviation and that there's less available people and some of those negotiations or perhaps take longer and or a little more difficult than they would have been five years ago, but having said that, we have good relationships and we're making our way through it, we should be through most of it by the end of this year I would think. And some of it will be done in this quarter, I would think. In terms of passing it along, we have pretty strong market presence. And so on the passenger businesses in most places we're able to pass that on reasonably quickly where we have contracted pricing, it can take a little bit longer, but I don't think you're going to see a material impact beyond a quarter or so with most of our airlines. I think where you would see the biggest impact to be in the longest term being practically in a place like Keewatin as an example where we have long-term contracts with the government that we then are tied to inflation not specifically to employee costs. So those may take us a couple of quarters to get things lined up. But it's more of a time-taker and a distraction for my management team is with these prolonged negotiations that are required, less than the pure cost. We aren't in a lot of places where we don't have enough market presence to pass the ultimate cost of the service to our customers.
Cameron Doerksen: Okay. That's great to hear. And I guess maybe related question, I mean I know you guys have done a good job of creating a pilot sourcing solution internally, but it does sound like there some short-term challenges with finding pilots and you mentioned there were some -- maybe some contracts on the charter side that maybe you could have captured earlier if you had to be available aircraft and pilots. I'm just wondering if there a shortage of pilots just industry wide is having a limiting impact on your ability to grow or is it more the aircraft availability, that's the problem?
Michael Pyle: I think sometimes, Cam, and it just gets oversimplified to be just about pilots. It's about pilots about EMEs. So it's some days it's enough ready to fly in other days, you need the pilots to fly. So it definitely limits, how fast you can move on expansions. But having said that, we've been able to do it. We bought extra aircraft, you saw in our results. I mean we mentioned -- Rich mentioned in his talk that we had significant internal beat in our essential air services and that beat was relative to our own expectations. So even with the pilot shortages, we've been able to cover most of that off. There are certain times in certain markets for certain things at a given type of pilot can be hard to find, and that's where you'd see the results for most distinctively, you don't see that in EIC as a holes results because they're very niche problems and they are a problem for by management teams. But in terms of our overall performance, the impact is limited.
Carmele Peter: In terms of pilots, it can vary by aircraft or platform type. You tend to see more turnover in pilots with your smaller aircraft and less so in the larger ones that we fly whether that's an ATR or DASH or 2400. So our focus has been on ensuring that we have a continued flow of those pilots so that we can ensure that the aircraft that we do have are manned and that we've got room for expansion.
Michael Pyle: I think the one last thing on this before we dropped topic is we've chose -- we believe this is a long-term issue. We don't think this is just a COVID issue. If you go back to our conference calls in 2019, we were talking about a pilot shortage than and that's why we bought fight college. Having gone through the pandemic, we realize that that's not enough. That's why we bought the simulator to internalize the training for our smaller aircraft, but it's also take pilot pathway. Last year we started with a dozen First Nations people and most of them got through with private pilots licensing and they are back getting their commercial pilots, we doubled the size of the program this year in terms of number of students. And I can tell you we intend next year to expand it beyond Southern Canada into Nunavut. And we think a big part of this is enabling our First Nations and indigenous customers to dream to be part of us. If you live in some of these Northern communities where the economic opportunities are very limited, kids don't wake up and say I want to be a pilot. Well, we want them to wake up and say I want to be a pilot and we think it's our responsibility to help provide a pathway for them to get there, and we believe that the reward for us, we're doing this beyond doing the right thing, because it's the right thing is that deposits we will build we will want to service their own communities. And so they're likely to stay longer and not move on to the major airlines flying the 787 to Singapore, and so it's a long-term focus. We know it's going to take investment. We're prepared to spend on it and we think it's one of those great crossovers where economic reconciliation and ESG ties into selfish profitable voters.
Carmele Peter: We've also take advantage of immigration. We've had several pilots come over from the Ukraine, where we've got them in a licensed in Canada and now becoming pilots for us. So that's been another great stream for us to tap into.
Cameron Doerksen: Okay. No, that's great. Appreciate the color on that. So, congratulations on the results. Thanks.
Michael Pyle: Thank you.
Operator: Your next question comes from Konark Gupta at Scotiabank. Please go ahead.
Konark Gupta: Good morning, Mike. Thank you, operator. Good morning, everyone. Maybe just wanted to kind of get back to the BC medevac contract. Mike, I think you mentioned that you are expecting the award pretty soon this quarter. Can you refresh our memory on how many contracts are going to be awarded. And what would be the expected CapEx spending for each if they come through.
Michael Pyle: So there were two main contracts that are being left, one was for the rotary wing medevac and the other was for the fixed-wing medevac. We do not have a presence in BC in the rotary wing medevac business. We did bid on it, we were not certain that chosen better. BC announced that one a few days ago, we believe the fixed-wing announcement is imminent and imminent could literally means this afternoon or it could mean a couple of weeks. We don't know that's in the hands of the BC government. We currently cover a significant portion of BC over half of it, but the new contract is not only just a single omnibus contract for the whole province, it requires a whole new fleet of aircraft. So they've decided notwithstanding aircraft we operate there are actually for medevac standards, a very young fleet. They want it because they're putting it into a single contract bidders to provide all brand new aircraft. So for us, it's an investment of depending on how the contract is awarded approximately $200 million. That's over, probably about 18 months as because it's not like, if we need a dozen or so, Dave can you -- is that's the right number of aircraft.
Unidentified Company Representative: 12.
Michael Pyle: 12 aircraft is where we think it's going to be. You can go to the airplane store and pickup 12 aircraft. We've bought spots in the production line, should we be successful, but those come when every couple of months or two, in one month and then we have to convert them into medevac aircraft from brand new aircraft and then they go into service. So should we be successful and even if it was announced 10 minutes from now, we were the winner. It's not something that's going to impact this year's financial results from an income statement point of view. We would start investing this year in new aircraft and it would probably only really have a meaningful impact in the very back-end of next year as these go into service. But remember, this is a minimal of a 10-year contract from when they go into service. So summarizing all that couple of hundred million bucks it would give us the whole province, it would be fair. They would go into service over the next 18 months or so roughly. And you would see the full impact of it beginning in 2024 -- 2025, sorry, yes.
Konark Gupta: 2025, right. Yeah, makes sense. Thanks. That's great color, Mike. Thanks so much. And then on the Alberta forest fires. I know you guys mentioned the Northern Mat opportunity potentially, right. But just looking at the shorter-term in the second quarter. Can you help us identify what your exposure to the Alberta operations are. I mean, get the sense that the forest fires can impact any of your working subsidiaries there, not Northern Mat and any tailwinds for your firefighting business?
Michael Pyle: Good question. In terms of the fires impacting our existing operations, they can. Right now the fires -- the existing fires are not near any of our bases or any of our people. So right now, it doesn't have an impact. But a wind can change in three days from now, that could be different. Those impacts tend to be short-term, not that are on rent to the responsibility of our customers and the ones that are in our yards are insured. So it's not dramatic. It could slow our ability to lay Mat or do a project for a given short period of time, but again that would really be more of a timing issue that without back as soon as we can get in there and go do it. So not dramatic. Clearly stressful for the people there and our thoughts and prayers are with everybody in Alberta. But in terms of our Mat business right now so far so good. In terms of the firefighting this is one of those good news, bad news stories. I called my CEO Jed at custom aviation and I said, so how many planes we are options we got going in Alberta. He said not and I said, why is that. He said, because they're all already contracted. So in a normal year, yes, this would have impacted us, but we're so busy as it is, it really hasn't done anything for us directly because our planes are already working.
Konark Gupta: That's a good problem to have, I guess. Okay, perfect. Thanks. And last one from me, on the balance sheet. So if I look at your credit facility debt today, your senior leverage ratio would be below 2.5x on the updated EBITDA guidance. To what leverage levels do you think you'd be comfortable going before looking at other alternatives.
Michael Pyle: I think the organic growth rate and on the acquisition front, where we're taking in a piece of equity on the deals we do like if you saw with BV, as an example 20% or 25% of the deal was funded in equity, but we really don't have a limitation, especially with Rich's work on extending and increasing the facility. Our appetite for leverage hasn't changed. And if you roll out my kind of musings for next year at 600 you put that into our current debt level, you get a much closer to 2 times to 2.5 times and our converts at that level fall to 0.6x or so of return you get us at the lower end of our range. So we have dry powder. I would say that nothing has changed with our business strategy. We've always said we want to maintain a strong balance sheet with liquidity and reasonable debt levels. So if we get the right opportunities, I would move to raise money if as and when that happens. But we have no pressing need to raise equity. We've got -- we're in a great spot. We've got the better part of the $1 billion worth of liquidity if you include our debt facility and our aggregate debt is moving down to the lower end of our historic range. So I think we're in a good spot as it relates to that Konark, but we remain committed to maintaining a strong balance sheet and because everything we look at is on accretive nature on a per share basis, if at some point you need some equity it's not going to hurt the existing shareholders because whatever we are spending the equity on is accretive to the existing shareholders.
Konark Gupta: Perfect. That makes sense, Mike. Thanks so much. Just to clearly understand what's your incremental cost of borrowing on this credit facility under this fixed rate swaps?
Michael Pyle: My CFO due to weaker job of negotiating and it's the same as it was for the existing part there was no increase in the cost of borrowing. I mean obviously, the cost of SEDAR and those things bounces up and down, but our markup to the banks is unchanged from what it was in last year's facility.
Richard Wowryk: Yeah, and just because I think the tailwind you asked about the swaps. I think in Mike's message he talked about 100 basis points and 150 basis points of conversion. So that's kind of pick the midpoint over the two swaps is probably a good starting point compared to where you see SEDAR or SOFR setting plus our margins.
Konark Gupta: Makes sense. Perfect. Thanks so much guys. I'll turn the call over. Thank you.
Michael Pyle: Thanks, Konark.
Operator: Your next question comes from Chris Murray at ATB Capital Markets. Please go ahead.
Chris Murray: Yes. Thanks, folks. Good morning. So, Mike, I just wanted to turn back to the BVGlazing acquisition and it's interesting, your commentary that it's probably one of the more unique opportunities you guys have had around doing an acquisition? But actually having synergies to work with. So I just wanted to kind of worked through is a little bit. We've talked a little bit about maybe some end market support and things like that? But a couple of things to think about. So we think margins in that business where historically kind of plus or minus 20%. And just looking at the acquisition price and what you guys have historically bought, done transactions that we think that BV is going to be kind of in that range. But I'm kind of thinking about this from a couple of things like first of all, utilizing manufacturing footprint. So I guess straight up, can you build the BD project product in your other facilities. So can you use Texas for example to build that. And then second, is there anything else on the cost side that we could see that margin profile materially changed or is it mainly going to be on the sales side? Let me see any additional color there to be kind of walk through how to think about how you guys are thinking about synergies? would be helpful.
Michael Pyle: Yes. So as you put it, we've got the market synergies, which is really three different product offerings. Quest, our current -- our existing company didn't have the capability to make railings or stick with no wall for joint use buildings where you've got retail on the bottom, commercial on the bottom. Now we can require both of those products from BVGlazing. BV didn't have installing capability in the US, they use third-parties. So, now they will immediately use Quest. So, those will happen more rapidly, because there more easily done and internalized. Then as it relates to the manufacturing, we have -- I believe it's either five or six facilities in Southern Ontario, all in leased buildings. We will amalgamate that production whether it goes to one building, two buildings or three buildings, were still running models, we just closed May 1. So, the management teams are just starting to talk about the best ways to do this. And so what that's going to enable us to do is you got the opportunity to go through our Toronto plant for Quest and see how that's built up until it's absolutely filled before walls versus how we built Dallas, which is obviously much more efficient and effective because it was custom designed. You are going to see a new facility or facilities for Quest and for BV in the Southern the Ontario marketplace and then we will also determine how were going to specialized manufacturing between Dallas and Ontario. I think it's highly likely that well do certain kinds of work in certain facilities. So, one may do them more complicated doors and open windows and that kind of stuff. And the other may do some more vanilla but larger window wall segments. We're still working on that, but I think this is something I want to make sure I am crystal clear on is that this is not about building the same number of windows with less people, this is about being able to take that equipment put it in a bigger space and do more stuff with the same people. This business is growing the opportunities are huge. I don't know if anybody saw the article in the Globe a few days ago, where they opened up sales on a condo project with two towers and it's sold out in a matter of days. With today's interest rates that's a tremendous statement about the demand for high-rise living quarters particularly big cities where the cost of single-family housing is prohibited. So, we believe what we need to do from a synergies point of view is take the skilled people we have and get wave or out of, by changing our manufacturing footprint, that's all we do. Obviously it's going to take us a few quarters to do and we may invest in some bigger, faster, more effective equipment, but that's going to let us build more windows with the same people.
Carmele Peter: As we look at the operations the whole and Mike touched on this, it will allow us, we believe overtime to specialize so that one line will just do glass and you will get increased throughput on that, you will get that specialization all of that drive efficiencies. And then just you have two great operators looking at best practices in and out of themselves that will drive in my view, some additional synergies, all of which take time, but that's just part of the excitement that we see in bringing both BV and Quest again.
Chris Murray: Okay. That's helpful. Thank you. And any thoughts around kind of overall margin and overhead absorption or I anything direct that we could think about.
Michael Pyle: Yeah. I mean the 20% you mentioned would be at the high end of the range for that business, and it does touch that in places, but it depends on whether you include installation and that which is typically a lower margin part of the business. But I think we're going to need a quarter or two, of having BV, to be able to give you a meaningful guidance on how fast that changes. The one thing I can tell you is that we fully expect BV to contribute starting May 2, the day after we close. So you'll see an immediate impact from an acquisition point of view. And then the synergies will bleed in overtime and either in our Q2 or Q3 meeting, I'll give you some more precise guidance as to how we see that margin growing over ensuing periods.
Chris Murray: Okay. That's great. Thanks. And then the other question, and this one is a bit of a change in the presentation. And in some ways removing some of the transparency on some of the segments, I guess a couple of pieces of this, is there any way that we can get kind of a revenue and some of those sub sectors and EBITDA breakdowns. And just in thinking about making the changes, last time we kind of were facing some criticism around the transparency in your reporting any thoughts around the rationale for the changes and how to maybe address some of the criticisms that might return.
Michael Pyle: Yeah. I'll tell you. The changes we've made to discussing this in terms of our six key areas of operation came from, which we've done with our shareholders have told us, we make our things too complicated and do hard understand it. They really didn't need to understand who Perimeter was versus Calm Air was if they're both flying passengers into Northern First Nation communities. So we tried to align those things. This is just the first reporting period under this and if there is some disclosure as it relates to revenue in a given part of that I think that's something we're prepared to provide. Chris, come back to us and we can go offline in terms of in future periods or what you're looking for like you want to know essential air revenue and EBITDA number, those things that are things we could consider, but the idea was is we want to stop talking about all the brand names and all the great companies we have because it confuses most people. So we tried to make this a little more linear. And if there's things we can bolt-on to that in the future, we're glad to consider, it certainly wasn't meant to reduce transparency, it was meant to improve how opaque the number of companies were and how much you had understand about our company to get there. So very interested in your feedback.
Chris Murray: Thanks, folks. I'll leave it there.
Operator: Your next question comes from Krista Friesen at CIBC. Please go ahead.
Michael Pyle: Good morning, Krista.
Krista Friesen: Good morning. Thanks for taking my question. I was just wondering just as we get to understand Northern Mat a bit better. Are there any incredibly large contracts for Northern Mat that are rolling off in the next year to 18 months that it will take some effort to really backfill.
Michael Pyle: The short answer to that is there is always big contracts rolling on and off in that business. We had a big one in Ontario that we had putting in hydro lines into northern indigenous communities that we've completed. We have a fair number mats on with one of the pipelines which should expire sometime next year. It keeps extending on exactly when. So, yes, there is always some of those but conversely, there is always new ones coming in behind them. And so that's what makes -- when we bought it, we talked about it, it's not particularly cyclical. It is a little bit choppy in that sometimes, you'll have a new one stop -- a new one doesn't start exactly with the old one finishes. But yes, there can be variations period to period, but it's got that right now or next year or last year is more driven by individual projects tend the businesses as a whole. So like I say, right now the single biggest stuff we would be doing would be on the pipeline, the Trans Mountain pipeline that's expected to be finished sometime next year. But then very quickly after that you go into the maintenance and the testing of the service. So while fewer Mat's it's replaced with that business and then quite frankly, we're expecting some material new work that we don't have today in Eastern Canada for some electrical distribution projects that are available.
Krista Friesen: Okay. Great. And then maybe just a follow-up question on the acquisitions and the guidance. Rich, are you including much in terms of synergies this year from the acquisitions in your guidance for 2023?
Richard Wowryk: No.
Michael Pyle: There is virtually zero. The reason being is, to be honest with you what we built the numbers out. We didn't even know when we get Competition Board approval. So we weren't sure when we're going to take over and because of the nature of that, Krista, we really didn't allow the teams to talk to one another. Even though we had announced the deal back in March, we needed the Competition Bureau to bless it. In case they said, you can do this, we didn't want to start anything. So it's going to take us some time to get that we've got the whole team together here in Winnipeg, actually. It was fun watching them say we could do this. Yeah, we could do that. And I think I mentioned previously, in the press release that we're actually going to have Darwin Sparrow our COO, spend a fair bit of time in Toronto and help with the integration of the businesses. Simply because it's such a big opportunity. And it's not like our typical deals where we buy one company at full and other one into it. This is more you've got to peers and how are we going to -- how are we going to put them together into an entity. I think it's very likely, you're going to continue to see BV product line and Quest product line within our Window Solutions project. But we may well have common production or common marketing or common installation and so we're just working on that. So the numbers we're giving you are based on just owning the things we own and we'll start seeing synergies next year and that's why I'm not really ready to give a hard guidance number we just gave that the indicative the $600 million because we know there are stuff to come there.
Krista Friesen: Great. Okay. Perfect. Thank you. Thank you very much and I'll jump back in the queue.
Michael Pyle: Thank you.
Operator: Your next question comes from Matthew Weekes at IA Capital Markets. Please go ahead.
Matthew Weekes: Good morning. Thanks for taking my question. The first one just on Northern Mat and as you think about that business and maybe seeing a bit more supply and pricing pressure in the market. Just understand your kind of cost leadership efficiencies in that market. If you can comment on anything the teams kind of doing there to maybe get ahead of it a little bit sort of capture and take advantage of the market environment capture more work sort of mitigate downside from competition. Thanks.
Michael Pyle: I think that the team at Northern Mat is exceptionally good at having their finger in the water of where things are going and our key competitive advantage both from a cost and a strategic point of view is vertical integration. Most of the people we compete against in the rental business, which is the core part of the business. Don't make their amounts, so they got to make decisions well in advance of where they're going to buy from and what they're going to do, whereas we ramp up and ramp down our production as demand requires. We carry months of wood supplies so the wood that's used in Mat it comes from a very few number of trees, because it requires such large timber and it's available at sometimes it's not available at others. So one of the other things we do is we make sure we've always got lumber in the yard if we want to wrap up, we can do it tomorrow. And then the other thing we're doing now is we're looking at investing in even better technology to make the match, we already have a state-of-the-art process, but it's still labor intensive. We continue to examine opportunities to make it more efficient, more automated which again increases the delta between our Mat costs and our competitors Mat costs. In terms of putting Mat's out now versus later, the customers are free sophisticated about that. If you put on now they're still negotiating. Mat prices are still strong. The reason why you keep hearing us talk about it's not as good as last year, because last year was a perfect storm and we didn't buy it off of last year, we bought it off of an average. So, we benefited from that last year, and this is going to be way above the average as well. It's just we're trying to be transparent with the market, that it's not always as good as it was last year.
Carmele Peter: And the other thing, they have the ability, because they don't -- they do produce their own Mat, the balance between net sales and leasing Mat to get maximize their revenues on that basis. And of course pricing is going down their input costs have also gone down for the actual production of the mat and hence the margins on the sales. So by getting that balance right and taking opportunities that exist in the sales side that helps them as a market leader and then obviously deploying the Mats the most effective way, whether that's leasing ourself.
Michael Pyle: And you see, I'll just go further on that, you will see where customers will come to you and they've got a use for Mat that's going to be very disruptive to the Mat. And so if they want to buy Mat, but that no Mat advantage for them having brand new, Mat. So we've got ability to say, okay. We've got this batch that are two years old, will sound use those for last and then we'll just back fill our fleet with new ones we produce. And so we have the ability to participate in all age of mat sales without impeding our ability to take advantage of leasing opportunities.
Matthew Weekes: Okay. That makes sense. Thanks. And just flipping over to the Aerospace and Aviation segment and thinking about the guidance. Are you assuming there's a bit of kind of margin lever as it comes from last year, you had sharp volatile increases in fuel costs. Should that impact sort of you less than this year as those have stabilized and you've had a bit more of an opportunity to sort of build in fuel surcharge into your contracts and pricing.
Michael Pyle: Yeah. The answer to that is yes, but it comes with a big but, because I don't know what fuel prices are going to do. That fuel prices are like to have been this year, which is relatively stable. Your assessments bang on. We got hit by really sharp short-term increases over last year and this year has not been that and we've been able to price our product in line with current fuel prices. If the Saudi's were to stop production all of the sudden in fuel prices spiked, we could have another one of those where you have a short-term impact till we adjust or conversely if it's like it's been in the last 25 days or so where fuel prices are softening, you could actually have a short-term benefit while we take fuel surcharges off. So your statement about more stability and frankly higher margins is correct subject to any changes in the macro environment.
Richard Wowryk: When talking margins for the entire segment as our aircraft leasing portfolio comes back online and is being utilized at a higher rate margins should tick up when you're looking at the segment as a whole.
Matthew Weekes: Okay. Thanks. And at that point that's kind of being viewed probably is more of a later in the year sort of second half event for the leasing portfolio.
Michael Pyle: Yeah. I mean, I think you'll see -- you'll definitely see a higher lease number in Q2 than in Q1 and you'll see another pop in Q3. So it's not all at once. I always try to explain to my Board. It sounds like a light switch all of a sudden they all out, but we can see into the future, because we have contracts signed for will take this plane in this month or those engines starting this month. So I think you'll see kind of not quite a straight line, but it's pretty close to it in terms of improvement over the next two or three quarters.
Matthew Weekes: Okay. Excellent. Thank you for answering my questions. I'll turn it back.
Michael Pyle: Thank you.
Operator: Your next question comes from Jonathan Lamers at Laurentian Bank Securities. Please go ahead.
Michael Pyle: Good morning, Jon.
Jonathan Lamers: Good morning. I think my questions have largely been covered but just on the Quest Windows business production. Could you comment on how you see production at facilities, including the New Dallas one ramping up into Q2 and how it ramped up in Q1.
Michael Pyle: Yes. I mean we produced materially more windows in Q1 than we did last year in the same period and that will continue to grow, albeit, more so at the back half of Q2 than the beginning of Q2. But I think the best way I can qualitatively explain that without publishing window frames which Jody told me he'd kill me if I published as it's too competitive. We're opening up our second shift at Quest Dallas and we never got there pre-COVID. We are talking about a second shift. We are now opening it up for that and so I think that's it can tell you what we think about our volume requirements. And I can tell you that BV in our due diligence, we expect that to be busy through the balance of this year for sure and into next year, but they are instantly into a busy period as well. So, I think you'll see growth in the amount of window frames. We do in each of the next few quarters and the margins on each window frame will also improve because of efficiencies of the plant and because of better pricing.
Jonathan Lamers: Thank you. And just on the R1 leasing business. I appreciate the color there. If possible it would be helpful if you could provide us with the revenue of the leasing business just because the margin profile is so different from the aircraft sales or perhaps the EBITDA. Thanks.
Michael Pyle: We'll deal with that for next quarter.
Jonathan Lamers: Thanks for your comments.
Michael Pyle: This was a learning curve for us in terms of the new disclosure, we wanted to make it easier for our readers to understand. But I appreciate for modeling purposes. It's probably a couple of numbers, you'd like to have. So, we'll take a peek at what we disclose and give you a few more of those pieces for Q2.
Jonathan Lamers: That's great. I just wanted to provide that feedback. Thank you.
Michael Pyle: I appreciate that. Thank you.
Operator: Your next question comes from Tim James at TD Securities. Please go ahead.
Tim James: Good morning. Thanks for taking my question this morning. My apologies if the question was already answered my line has been dropping in and out. So my first question is regarding the two acquisitions. Could we get a sense of what the annualized revenue and EBITDA contributions were for those two acquisitions in 2022? And how do you guys kind of see that -- see 2023 play out with those two businesses, assuming obviously BVGlazing that you guys close on the acquisition.
Michael Pyle: I think what we provided on that, was that in both cases, they were above our 15% return threshold. So if you back into that from the acquisition price, you can come up with what the EBITDA -- the maintenance CapEx in those businesses are very modest, so EBITDA and free cash flow are very similar. And then when you look at margins, I think what we said is they tend to both of them would be sort of mid to the higher end of our history of the range of our existing companies. We have not disclosed the specific revenue number for competitive reasons, nor a specific margin number. But as we explained that they were purchased off of return, north of 15% and so you get back into those I think. And then in terms of next year, I talked about earlier in the call that there is going to be significant synergies on the BV deal both problem of multiple products point of view that they're able to provide products to Quest, Quest to BV that we don't currently have where they were outsourced. And then additionally we are going to consolidate our manufacturing footprint in Ontario from five or six facilities down to a couple of three facilities, which will increase efficiencies and generate greater throughput. So we can grow the business. But those synergies obviously take time. We just closed eight days ago. So that's more of a 2023 story. In terms of the details of that give us a quarter or to get the plan in place. I don't like shooting from the hip and KSI back to my operating guys in two quarters with my promises. So we'll give you better color on that in Q2 or Q3.
Tim James: Perfect. I appreciate that. And then my last question is, which one of your businesses, if any, I think you guys hinted that you guys have seen any impact from the economic headwinds, but which one of your businesses, if any, or do you expect to be impacted the most if economic headwinds persist.
Michael Pyle: To be perfectly honest with you what we see from a recessionary point of view really does not impact at this point anything, our order book to strong across the board. The one we said Regional One's improving we thought it would have improved faster till now we now are signing contracts and growing the business, if we've got one that's a little lower down the hill in terms of climbing back out of COVID, it will be our one, but it's well on the way. And in terms of any declines things could change in the future, but where we are now, we just don't see any.
Tim James: Perfect. I appreciate the color, guys. I'll hop back in the queue.
Operator: At this time, we have no further questions, so I will turn the conference back to Mike Pyle for any closing remarks.
Michael Pyle: I want to thank everybody for hanging around, listing all the questions and the talk. I look forward to seeing some of you today with our Annual Meeting in a few minutes or new facility at the Winnipeg airport. And we're excited about the rest of the year. And I can't wait for August to tell you all about it then. So have a great day. And hopefully, we'll see you.
Operator: Ladies and gentlemen, this does conclude your conference call for this morning. We would like to thank you all for participating and ask you to please disconnect your lines.